Operator: Good day and welcome to today's Trinity Industries Third Quarter Results Conference Call. Currently all lines are in a listen-only mode. Later there will be an opportunity to ask questions during the question-and-answer session. (Operator Instructions) Please be advised today's conference is being recorded. Before we get started, let me remind you that today's conference call contains forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995 and includes statements as to estimates, expectations, intentions and predictions of future financial performance. Statements that are not historical facts are forward-looking. Participants are directed to Trinity’s Form 10-K and other SEC filings for a description of certain of the business issues and risks, a change in any of which could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements. It is now my pleasure to turn the conference over to Ms. Gail Peck, Trinity Security Incorporated’s Treasurer. Ms. Peck, you may begin.
Gail Peck: Thank you, Aaron. Good morning everyone. Welcome to Trinity Industries third quarter 2011 results conference call. I am Gail Peck, Treasurer of Trinity. Thank you for joining us today. Following the introduction, you’ll hear from Tim Wallace, our Chairman, Chief Executive Officer and President. After Tim, our business group leaders will provide overviews of the businesses within their respective groups. Our speakers are Steve Menzies, Senior Vice President and Group President of the Rail and Railcar Leasing Groups, Antonio Carrillo, Senior Vice President and Group President of the Energy Equipment Group and Bill McWhirter, Senior Vice President and Group President of the Construction Products and Inland Barge Group. Following their comments, James Perry, our Senior Vice President and Chief Financial Officer will provide the financial summary and guidance. We will then move to the Q&A session. Mary Henderson, our Vice President and Chief Accounting Officer is also in the room with us today. I will now turn the call over to Tim Wallace for his comments.
Tim Wallace: Thank you, Gail and good morning everyone. Our businesses are continuing to experience a variety of scenarios. I am pleased with their accomplishment. Demand for railcars in North America remained consistent during the third quarter. Orders for railcars and our Rail Group once again exceeded deliveries, resulting in backlog growth for the seventh consecutive quarter. Our railcar manufacturing businesses are beginning to achieve operating leverage as they continued to ramp up production. We expect their performance to improve during the fourth quarter. Our railcar leasing business is obtaining better lease rates in extending lease terms while responding to favorable opportunities to sale railcars from the lease fleet into the secondary market. Our Barge group is also experiencing consistent demand. The order backlog for this group increased 14% during the third quarter. Our barge facility in Missouri that was damaged by severe flooding in May has fully recovered. I’m very pleased by the way our personnel responded to the many challenges associated with the flood. Our Construction Products businesses are performing well in a challenging market environment. Demand for concrete and aggregates in the markets our businesses serve have been effected by the overall slow down in the construction industry. Demand for highway products in the U.S. is heavily influenced by federal highway funding. The outlook for this market remains uncertain as our political leaders continue to work through federal highway funding legislation. The international demand for our highway products has been improving. Our Construction Products businesses are prepared to respond as demand shifts. Our Energy Equipment Group reported a loss during the third quarter. The loss was primarily due to issues that our wind tower business experienced as a transition from producing 80 meter wind towers to manufacturing 100 meter wind towers. The taller towers are substantially heavier and more complex to manufacture than the previous models. Our wind tower manufacturing specialists are in this later stages of resolving manufacturing transition issues associated with the new wind towers. We expect the performance of our wind towers business to begin to show improvement during the fourth quarter. It’s very difficult to precisely predict the details pertaining to improvements when we have manufacturing facilities transition into a complicated, new product changeovers. Our wind tower backlog was approximately $930 million at the end of the third quarter. The backlog for our wind towers business is comprised primarily of contracts without provisions for customers to substitute these larger wind towers. Executives at our wind towers business are planning to visit with customers about developing acceptable contract terms or substituting new tower designs. From a long-term perspective, we believe our short-term investment to enhance our manufacturing flexibility in wind towers will improve our market leadership positioning. We want our wind towers business to remain flexible enough to shift when our customers’ needs changed. From an overall company point of view, I'm pleased with our accomplishments. As we began our budgeting process for 2012, we have a positive outlook in most of our businesses. Our overall performance and strength of our market leadership positions reflects the talents and hard work of our employees and our commitment to operational excellence. We are fortunate to have a highly seasoned group of employees who are extremely capable. I will now turn it over to Steve Menzies for his comments.
Steve Menzies: Thank you Tim and good morning. Third quarter operating results for the Rail Group and Leasing Group reflect increased Railcar production and approved operating leverage amid consulting railcar demand. Our Rail Group posted a 17% increase in operating profit while shipping approximately 16% more new railcars during the third quarter compared to the second quarter of 2011. When compared to the third quarter of 2010, our rail group posted an operating profit increase of greater than 450% and an increase in shipments of more than 216%. Our railcar order backlog increased for the seventh consecutive quarter. Our Leasing Group experienced a 21% increase in operating profit compared to the third quarter of 2010 due to higher fleet utilization, lease fleet additions, higher rental rates and profit from lease portfolios sales. These rates and renewal trends continue to strengthen as the number of idle railcars in North America declines and railcar loadings increase.
 : In addition, orders for inner motor railcars were placed during the quarter as shifts and equipment preferences for domestic containers has caused a shortage of 53-foot railcars. Demand for coal-carrying railcars is in equilibrium with the existing coal-car fleet. New coal car orders during the quarter were for replacement of older coal cars operating in the eastern service.
 : Trinity Rail’s railcar production backlog was approximately 27,885 rail cars at the end of the third quarter, up 2% from the end of the second quarter. Approximately 18% of the units in our production backlog are for shippers of our leasing business. We were successfully securing orders during the third quarter that extended production plans well into 2012. We continue to focus on orders that optimize production that are facilities currently in operation, minimize line change or reflect favorable pricing levels. The third quarter orders should position us to achieve increased operating leverage. We delivered approximately 3600 railcars during the third quarter compared to 2240 and 3115 in the first and second quarters respectively. We are still in the ramp-up phase of our production plan and it is difficult to precisely determine our operating productivity to re-stabilize our production levels. The steep slope of our production ramp up during the last four quarters has been challenging. Our operations team has done a fine job recruiting, hiring and training a new workforce. We believe that we are now positioned to realize solid improvement in our operating leverage as our labor force becomes more experienced and productive. For the year 2011, we are projecting delivery of between 13,600 and 14,000 new railcars. As a point of comparison, we delivered 4,750 railcars in 2010 and slightly more than 9100 railcars in 2009. We believe our production capacity is well positioned for current railcar demand, but we will be flexible and prepared to respond to further sustainable increases and demand. We added 1,100 new railcars to our lease portfolio during the third quarter bringing our wholly-owned lease fleet to 54,445 railcars, a 5.4% increase compared to the third quarter of 2010. Our lease fleet utilization at the end of the third quarter of 2011 was 99.4%. Our average remaining lease term remained at 3.5 years, the average age of railcars in the fleet was 6.4 years. The TRIP lease fleet totals 14,600 railcars operating at 99.9% utilization. As a reminder Trinity owns 57% of TRIP and manages the portfolio. As I mentioned earlier, lease renewal trends are favorable, a high percentage of our lessees are renewing their contracts, which results in lowering our remarketing expenses and minimizing our service time. Renewal lease rates are also showing steady increases. These rates on new railcars have risen to attractive levels. We expect this trend to continue while overall railcar supply is in equilibrium and new railcar production backlogs are extended. We have seen strong secondary market activity for the purchase of existing leased railcars during the last few quarters. Increased availability of capital is supporting the financing of these portfolio purchases. These portfolio sales of secondary market activity are important tools a railcar leasing company uses to manage portfolio diversification and to capitalize on attractive portfolio trading opportunities. The size of our leasing on average now totals approximately 670,000 railcars positions us to more actively participate in the secondary market. During the third quarter, we sold a small number of leased railcars from our portfolio. We expect to increase our lease portfolio sales during the next few quarters assuming market conditions continue to support in active and deep market buyers. In summary, the railcar market conditions remain favorable for improved lease financial returns and lease portfolio sales. We’re entering the latter phase what has been steep ramp-up of railcar production. Our operations team is highly focused on maximizing our operating leverage and we’re well positioned to achieve desire production efficiencies. I’ll now turn it over to Antonio.
Antonio Carrillo: Thank you, Steve and good morning. Energy Equipment Group revenues for the third quarter of 2011 remained relatively flat as compared with the same quarter of last year. However, as I mentioned during our second quarter call, learning curve costs associated with producing larger wind towers negatively impacted our operating profit during the quarter. The competitiveness of the power generation market is causing our wind tower customers to focus on developing new wind turbines designs that are more efficient and customized to the geographic location of each wind farm. Certain wind farms are in locations where taller wind towers can reach out to with better wind patterns. Other farms may require heavy wind towers to support the installation of larger turbines or longer blades. Until earlier this year, our plants have been manufacturing primarily towers with heights of about 80 meters. During the spring and summer, we began transitioning some of our facilities to manufacture larger 100 meter towers. These towers are the first generation of this particular model. Despite being only 25% taller, these towers contain approximately twice as much steel and require significantly more welding. The number of welds and the complexity associated with applying them are the primary elements of the learning curve impacting our production consistency and our cost at this time. As a leading provider of wind towers in North America, the ability to flex our production lines based on product demand is a key priority for us. Our team is working on enhancing our manufacturing platform so that we can efficiently transition our production lines between wind tower models. As an example, some of our facilities that are currently building 100 meter towers are expected to shift back to manufacturing 80 meter towers during 2012. We’re developing a better understanding of the complexities associated with manufacturing larger towers and are learning more on an ongoing basis. We plan to work with customers that have orders in our backlog to develop acceptable contract terms and pricing that will allow them the flexibility to substitute new tower designs. We do not intend to modify the terms pertaining for our customers overall contractual commitments for towers. I would now turn it over to Bill for his comments.
Bill McWhirter: Thank you Antonio and good morning everyone. Our Construction Products segment continue to perform well during the summer season. The segment produced an operating profit of $17.8 million for the quarter compared to $20.3 million during the same quarter a year ago. Last year’s higher third quarter profits included a one-time gain a $3.8 million on the divestiture of our asphalt business and our ready mix plant in Louisiana. When this one-time gain is eliminated earnings improved quarter-over-quarter by approximately 8%. In early April this year, we completed an asset swap that enhanced our aggregate holdings. On our last quarter’s earnings call, we discussed two recent acquisitions; one in Highway Products and one in Galvanizing. These acquisitions have now been successfully integrated into our operations. During the third quarter, we acquired another small Highway Products business; combined, these three acquisitions will add approximately $40 million per year in revenue. All of our recent acquisitions, divestitures and asset swaps are part of a strategy to grow and reposition the Construction Products segment. Moving to our Barge segment; I am excited to say that we have recovered from the flooding of our plant in Missouri. We are currently running at a 100% of plant production. Our people have done a great job getting us back to this point in a relatively short period of time. Despite the effects of the flood, we recorded operating profits of $26 million for the third quarter. Insurance proceeds accounted for $3.1 million of those profits; Barge movements of petroleum products, chemicals and coal continues to be strong. During the quarter, we signed $214 million of new orders. Our backlog has grown to $564 million at quarter end which is $49 million higher than at this time last year. Overall, I am pleased with the performance of both our Barge and Construction Products segments; both of which play significant roles in Trinity’s diversification strategy. At this time, I’ll turn the presentation over to James.
James Perry: Thank you Bill and good morning everyone. My comments relate primarily to the third quarter of 2011. We will file our Form 10-Q later today. For the third quarter of 2011 Trinity reported earnings of $0.40 per common diluted share. This compares to $0.37 per common diluted share in the third quarter of 2010. Included in the results for both periods are certain non-recurring items which make year-over-year comparisons difficult. I will provide highlights for these items during my remarks. Revenues for the third quarter of 2011 increased to $797 million compared to $540 million in the same quarter last year, resulting from a higher level of railcar and tank barge deliveries along with growth in our railcar leasing operations and an increased level of railcar sales from the leasing portfolios. Trinity’s EBITDA during the third quarter increased to $150 million from $139 million in the same quarter of 2010. The reconciliation of EBITDA was provided yesterday in our press release. The Rail Group reported revenues of $320.9 million, a 145% increase over the same quarter in 2010 on the strength of 3,605 railcar deliveries compared to 1,140 a year ago. This reflects a strong growth in demand during the last year and Trinity Rail’s ability to successfully meet that demand. The Rail Group’s operating profit for the quarter increased to $18.2 million compared to $3.3 million a year ago due to higher volume and increased operating leverage. During the third quarter, the Leasing Group reported revenues of $153.1 million and an operating profit of $64.2 million, including $29.3 million of railcar sales from the leasing portfolio, which generated $6.5 million of operating profit or $0.05 per share. This compares to revenues of $122.1 million and an operating profit of $52.9 million last year. Railcar sales from the leasing portfolio in the third quarter of 2010 totaled $7.2 million with an operating profit of $2.3 million or $0.02 per share. As Steve commented, selling railcars from the leasing portfolio is a regular activity that has a number of benefits. Selling railcars from the portfolio provides our leasing business with a greater flexibility to meet the needs of customers who want to own as well as lease railcars. It can also help diversify portfolio composition, maximize returns and maintain a relatively low average age for the railcars within the portfolio. We expect that our leasing business will continue to sell railcars from this portfolio when favorable opportunities are available. Our Inland Barge Group had another good quarter, reporting orders of $214 million while managing through the restoration of its Missouri facility which was damaged by flood waters earlier this year. Revenues for the Inland Barge Group totaled $143.2 million with an operating profit of $26 million in the third quarter of 2011. During the third quarter of 2010, our Inland Barge Group is also recovering from a flood, this time at our Tennessee facility. For the third quarter of 2010, the Group reported revenues of $98.9 million and an operating profit of $22.4 million, which included a gain on a disposition of flood damaged property, plant and equipment. Our Inland Barge team has done an outstanding job during the past two years meeting high levels of industry demands for barges while simultaneously dealing with two very destructive floods. I mentioned earlier that certain non-recurring items affected results in both periods making year-over-year comparisons difficult. Flood-related insurance claim activity is one of the more significant items. During the third quarter of 2011, we finalized the settlement of our insurance claims from last year's flood at our Tennessee barge facility. This settlement resulted in the recognition of $3.1 million of pre-tax income during the third quarter. We did not record any insurance gains or losses in the third quarter of 2011 from the flood at our Missouri facility. In addition, third quarter 2010 results including $9.7 million of net insurance claim activity from the Tennessee flood which included a $10.2 million gain on the disposition of flood damage property, plant and equipment. The Construction Products Group recorded third quarter revenues of $164.8 million in an operating profit of $17.8 million. This compares to revenues of $160.4 million in an operating profit of $20.3 million in the third quarter last year. Third quarter results for this group in 2010 included a non-recurring pre-tax gain at $3.8 million resulting from the divestures of its asphalt business. This group has continued to perform well in a difficult construction environment. The group has made significant progress, realigning its portfolio through a series of strategic acquisitions in the highway products space and a repositioning of assets in the concrete and aggregates businesses to better meet the demand of its customers. The Energy Equipment Group incurred an operating loss of $1.9 million in the third quarter on revenues of $111.6 million. This compares to revenues of $106.6 million in an operating profit of $6 million last year. The loss resulted from production inefficiencies in our wind towers business at a transition from manufacturing 80 meter towers to new line of 100 meters. As we mentioned in our guidance on last quarter’s earnings conference call, we incurred a one-time charge from the TRIP refinancing during the third quarter. This chart reduced pre-tax earnings by $2.4 million or $0.02 per share. The effective tax rate for the third quarter of 2011 was 40% compared to an effective tax rate of 32.5% for the third quarter of 2010. The 40%tax rate in the third quarter of 2011 reflects the increase in our business and investments in certain jurisdictions with higher tax rates. The lower tax rate in the third quarter of 2010 was primarily due to a favorable settlement of audits and the refund of state taxes in the third quarter of 2010. As a recap, when you take into account the non-recurring items that I’ve discussed in my comments today, this year’s third quarter results from our core operations are a substantial improvement over the same period last year. At September 30th, our balance of unrestricted cash totaled $273 million. When combined with available capacity under our corporate revolver and Trinity’s leasing warehouse facility, we have more than $800 million of available liquidity at the end of the third quarter. We were pleased to announce last week, the renewal of our $425 million unsecured corporate revolver through October 2016. This transaction reflects the continued support of our banking partners and provides us with the liquidity needed to pursue growth opportunities. I will now discuss our forward-looking guidance. For the fourth quarter of 2011, we expect earnings per common diluted share for the company to be between $0.38 and $0.43. This results in earnings per common diluted share of between $1.45 and $1.50 for the full year of 2011. We expect our fourth quarter tax rate to be in line with our year-to-date rate of 39.6%. We anticipate that our Rail Group will report revenues of between $420 million and $440 million during the fourth quarter with an operating margin of between 6% and 8%. We expect our railcar manufacturing companies to deliver railcars to our leasing company that will result in elimination of between $75 million and $85 million to be consolidated revenues and between $0.05 and $0.06 per share of profit. For the full year, we expect we expect deliveries of railcars to leasing portfolio with the value of approximately $330 million to $340 million. Inland Barge revenues are expected to be between $135 million and $145 million in the fourth quarter with an operating margin in the range of 13% to 15%. The fourth quarter margin guidance assumes full recovery from the most recent flood and reflects the mix in pricing of the barges that will be delivered in the quarter. In the Energy Equipment Group, we continue to deal with the transition issues associated with building larger wind towers. We are making progress in this area and expect that our results will begin to show improvement. However we are unable to provide detailed guidance until we have a higher level of confidence in the timing of these improvements. Our results for the fourth quarter will depend on a number of factors including the level of operating leverage we achieved as our rail businesses ramp up production in response to increased demand, the impact of product mix changes on our wind towers business, additional perspective sales of railcars from our leasing portfolio and the impact of weather conditions on our construction products business. Our guidance does not incorporate any potential impact on earnings resulting from the ongoing insurance settlement related to this year’s flood in Missouri. Our operator will now prepare us for the question-and-answer session.
Operator: (Operator Instructions). And our first question comes from the side of Allison Poliniak of Wells Fargo.
Allison Poliniak - Wells Fargo: On the rail side, you know last quarter you had guided between 316 and 318 on revenue and certainly came in a little bit below that. Can you address what happened on that in this quarter with that?
Steve Menzies: Yeah, our guidance on this on rail revenues was due to the slower than anticipated productivity increases in our manufacturing [facilities]. I would say that we are not constrained by parts and components at this point. And we have had such a steep ramp up in our labor force and productivity that it is difficult to precisely determine exactly what our deliveries has been and the challenge has been an uphill battle for us and we continue to make progress to get to where we want to get to for the balance of the year.
Allison Poliniak - Wells Fargo: Okay and in that note, in terms of new facilities, you know, should we be aware of any new start ups in Q4 at this point?
Steve Menzies: Not at this time.
Operator: And we will now go to the site of Steve Barger with KeyBanc Capital.
Steve Barger - KeyBanc Capital: I am just trying to understand the cadence of incremental margin expansion in the Rail Group, you know, specifically production has sequentially increased each quarter. Your guidance suggest a pretty another you know healthy jump in 4Q, but if we look at incremental margins, they have declined sequentially from 1Q to the current quarter. So, just any further color on why those incrementals have lagged and do you think 3Q is trough for that metric?
Steve Menzies: You know again, we have seen some improvement during the third quarter, not to the level that we would have liked to seen. We continue to see more improvement here as we start the fourth quarter and we expect to see improved operating leverage and improved margins during the fourth quarter. So again the steep ramp up is a significant challenge and doesn’t go quite as smoothly as we would like sometimes.
Steve Barger - KeyBanc Capital: Is it more a function of pricing in the cars that you've produced or is it labor inefficiency coming from hiring people back, can you, just trying to get an idea of why that has been at that level?
Steve Menzies: Well, I think Steve the issues you are citing as far as a margin expansion is largely related to gaining efficiencies with the new labor force with obviously hiring a lot of people to achieve the production ramp-up that we would like to achieve. I should also point out that obviously the cars we’re producing and delivering now were cars that were priced six, nine, 12 months ago and were the first cars into our backlog. So we think pricing has improved in our backlog and we’ll start to see both improved operating leverage and the results of those better priced cars later in our production.
Steve Barger - KeyBanc Capital: So the cars going in production now do have better pricing than those that you put out in 2Q and 3Q?
Steve Menzies: I think generally that is true, yes.
Steve Barger - KeyBanc Capital: And are you fully staffed now to where you need to be to be able to put out if we just kind of take the midpoint of your implied guidance of 4,800 cars in 4Q. Are you there right now and are you seeing improvements in labor efficiency?
Steve Menzies: I am pleased with the progress we've made both on our hiring and in our productivity in this month so far and I am optimistic that we’ll achieve the guidance that we have given you for production.
Steve Barger - KeyBanc Capital: Okay. When I look at the 28,000 cars in total backlog, can you tell me how many are scheduled for 2012 delivery?
Steve Menzies: No we haven't broken that out thus far Steve.
Operator: And our next question comes from the side of Tom Albrecht with BB&T. Please go ahead.
Tom Albrecht - BB&T Capital Markets: I wanted to get some clarification on the language that you used to describe – you’ve got contracts for that provision to substitute towers from 80 meter to 100 meter etcetera. I guess a lot of little questions. What exactly does that mean, how late can specifications be changed, would the pricing change with that; I mean there is a lot that I can think about there that may be right or wrong in that phenomena?
James Perry: Sure Tom, this is James and good morning. The comments we made refer that the towers we’ve been building were not part of the original contracts we had with the customers. Designs have been changed and that’s been incremental to our backlog and so those towers went as orders came out of shipment the towers that we delivered in the third quarter. We’re having conversations with our customers about how to look at those contracts and potentially allow substitution that’s going to come with conversations around terms and pricing and those type things. Does not really matter of how late they can make a change to those of kind of things; again the towers we’re building now are not part of those agreements and so its an ongoing conversation as we’ve been taking the orders for these newer towers they have been individual conversations and we’ll revisit with our customers for longer-term contracts in the weeks and quarters ahead.
Tom Albrecht - BB&T Capital Markets: I guess what I get confused by is if I am a customer, I am not really expecting that I am going to get a bigger wind tower for the same price. So it seems to me pricing would be a given that’s a different products with a different price. So can you – what else gets hang up there when you have these discussions?
James Perry: Well, and clearly as you say as I mentioned these are individual conversations Tom, so when we talk about pricing is not going to be related to the original supply agreement that we have and we are producing the 80 meter towers. So we are having those conversations around all the terms and conditions that surround each order. So clearly to your point, you are not looking at larger tower for the same prices of smaller tower. So these sets of orders that we’re taking now and producing from the third quarter and going forward, do have their own sets of pricing. As we talked about, we’re going to a learning curve, we’re getting a better understanding for the complexities around manufacturing these towers and that goes into our costing and pricing as we move forward.
Tom Albrecht - BB&T Capital Markets: So as part of it, I am sorry, so as part of it understanding your own cost and your own productivity and being able to best price it given that’s a relatively new product for you?
Tim Wallace: You’re exactly right. This was an investment we knew the larger towers were on the horizon. We wanted to have the flexibility to be able to shift our production lines as Antonio said in his comments and we had to have an opportunity to gain some experience and develop some data so we could negotiate the terms on the pricing. We didn’t want to negotiate terms on pricing prematurely without having an idea of what the cost information was.
Tom Albrecht - BB&T Capital Markets: Okay, and then lastly and then I’ll get back in the queue. To what extent could such issues also exist in the railcar backlog; I mean if there’s changes and I guess it really wouldn’t be changes in terms, but it’s hard for me to envision to be the same risk, but in light of experience I can’t help to wonder if it doesn’t exist?
Tim Wallace: Now this is something totally unique. These 100 meter towers are something new to the industry, they’re brand new designs, they are designs that come out of the turbine manufacturers and then we build to their designs where railcars that are launched are designs that we go through and there might be new that we prototype, we gain experience on and it’s just apples and oranges. So we don’t really see we have anything comparable in the railcar backlog.
Operator: And our next question comes from the side of Art Hatfield of Morgan Keegan. Please go ahead.
Art Hatfield - Morgan Keegan: Just a couple of things here. First, in your guidance, do you include any sales from the lease fleet in that guidance, James?
James Perry: You know, Art, we’ve not specifically called that out. As Steve mentioned, we do plan to continue to increase our opportunities to look at those. We don’t get specific there because timing is uncertain as the opportunities come along, but we do plan to have railcar sales in the quarter and going forward.
Art Hatfield - Morgan Keegan: Understanding that from an outsider’s perspective, is it best for us to kind of take the approach to model either a very modicum number or zero number?
James Perry: You know, from a modeling stand point as Steve said, we had a very small amount that we did in the third quarter. Right now, we’re planning on a rather moderate amount in the fourth quarter but as opportunities and timing present themselves we will look at those one at a time.
Art Hatfield - Morgan Keegan: I appreciate that. I know that’s hard to look forward. A follow up on the 100 meter tower situation, is your transition facility still building the 100 meter towers? IF you go back to doing 80 meters in those facilities, is that not really an issue that we need to worry about from a cost stand point? Really the issue here is on the front end of the year, developing your capabilities to do the 100 meter towers.
Antonio Carrillo: As we mentioned, as a leading provider of towers in North America, it’s very important for us to have the flexibility to go back and forth between models in an efficient manner. As we mentioned the 100 meter towers have been the primary focus right now. The 80 meter towers -- when we go back, I mentioned in my comments we are planning to going back in some of our facilities in 2012. We don’t expect the same leases to happen because we already have the experience building that.
Art Hatfield - Morgan Keegan: Okay. And then finally just on your capacity in railcar manufacturing, Steve, I understood that you said earlier that you don’t planned on opening any lines in Q4. But going forward, kind of farther looking -- looking out a little bit further, what is your capability to do so if demand continues to increase in railcar?
Steve Menzies: I think one of the strengths we have at Trinity is the flexibility that we have in our facilities and to be able to respond to changes in the marketplace. You know during the downturn we made significant improvements in our manufacturing base that gave us potential and capacity and efficiencies in our production footprint that we didn’t have previously. We are -- we do have the ability to transition some of our other existing facilities that maybe make other products within Trinity to be able to support our railcar business if we need to ramp up further to meet additional demand. So I am very comfortable that within the network of Trinity facilities and with the changes that we’ve made in our existing rail facilities that we have the capacity to meet increased demand should we begin to see that going into 2012.
Art Hatfield - Morgan Keegan: A quick follow-up to that. Do you have any facilities currently that are idled and if so, clearly you could ramp those up but is it possible that those could be kind of closed permanently going forward?
Steve Menzies: You know, without getting into specific facilities, I guess the answer is yes or no. But we do have idle facilities today and we do have facilities that may not come back on stream as well, so. And I think the important thing is our production footprint gives us the capacity to respond to the market demand.
Art Hatfield - Morgan Keegan: And finally, then I will be done. I just -- it occurred to me. Is there much cash or cost drag in maintaining any idle facilities, I guess, in any other businesses?
James Perry: Art, this is James. You know, as Steve mentioned, we do have a lot of facilities in certain businesses. We are able to transition this for other products at time. We are certainly doing that right now. The drag as you mentioned on earnings or cash is rather minimal. Certainly, it’s on overhead costs you have with utilities and maintaining facilities. But it’s not a significant impact on our earnings.
Operator: And we will now move to the side of Sal Vitale with Sterne Agee. Please go ahead.
Sal Vitale - Sterne Agee: I just have a quick question. Just looking at your new orders based on the rail revenue numbers you provided without having to breakdown of components, you know, trying to roughly estimate what the ASP was in the new orders. I get to a number of about $100,000 on the new orders received which is a pretty significant increase year-over-year. How do we think about that going forward? It seems that one of the reasons that your market share of the new orders was a little lower this quarter than, say, last couple of quarters was, I guess, because you’ve been focusing on certain car types. How do we think about that? I guess, just two questions. How do we think about that market share of the new orders going forward over the next couple of quarters and do you expect to see the same solid pricing on your new orders over the next few quarters.
Steve Menzies: I will respond to the market share, new order question, and I think James will take the rest of it. And I think as we’ve said time and time again, we don't really look at our progress on our quarter-by-quarter market share basis, we really look at market share more as an aggregate over a period of time and then we do spend more analysis looking at specific car types. The orders we received thus far this year really have been in our sweet spot from a product mix standpoint and to the extent that we’ve been able to secure additional orders to extend those production line we will continue to do that. And we are seeing very firm pricing in the marketplace and the increasing price in both our new cars as well as in the lease market which at this stage of recovery should be moving for a close correlation with one another. So you know again we think the order trend is good and we think the order trend is consistent with the cars that we have in our production plans.
James Perry: In terms of pricing, when you see the 10-Q you will see the breakout of the revenues that came from parts and components versus that came from our manufacturing lines. The $100,000 number that you mentioned is certainly quite a bit high. You get more than an average of the 75 to 80,000 to 85,000 over the last few quarters. You’ll see that change is mix change is quarter to quarter both on the delivery than the orders and we can certainly help you with that later today as you see the 10-Q work through the math.
Sal Vitale - Sterne Agee: Then I am just switching over to the I guess that new deliveries guidance you provided, I noticed that it’s about 200 cars lower than the original guidance. I guess is that, is the view there that, I guess one, could it be cancellations which I don’t think it is. Or is it basically some of those cars that you had originally planned to produced in 2011, now spill over into the first quarter 2012?
Steve Menzies: Through the latter we expect those cars to spill over into the first quarter. We still don’t get them yet here in the fourth quarter. We’ve had no cancellations of orders with respect to our forecast for deliveries in the fourth quarter.
Operator: And we’ll now to the side of Tom Albrecht with BB&T for a follow-up question.
Tom Albrecht - BB&T Capital Markets: Okay, just a couple more questions on the towers and that, how many towers do you typically make in a quarter? I know in the Q, the revenues have been running around $65 million a quarter and then just kind of being extra (inaudible) here, how far in advance can a customer cancel a wind tower order?
James Perry: Again as you said, we do breakup those revenues in the 10-Qs. They did come down a little bit in the third quarter. They were around $53 million in the third quarter. That came down a bit again as we’re ramping up for the new towers. As you would expect, we had some lower productivity and throughputs, so that did come down. We don’t get into how many towers, the volume of course and certainly as we are moving from building 80-meter towers before to 100-meter now, the comparison wouldn’t make much sense anyway. In terms of cancellations and those kind of things, when we take an order in our backlog, as you recall there’s no cancellation provisions. So as we take an order, we expect to produce that tower, certainly right now as we mentioned we’re working off of new orders and purchase orders rather than towers. From the supply agreements we’re able to claim that productivity consistently over the next couple of quarters.
Tom Albrecht - BB&T Capital Markets: Okay and then just trying to back into a number here, but bear with me. So your guidance assumes that you’re going to be able to deliver close to 5,000 railcars in the fourth quarter which, the only reason I double-checked that is because you’d had such a good record in recent quarters of being able to deliver at or above your guidance. This is the first time we’ve kind of had a pro forma shortfall in the third quarter. So you are rock solid to give or take 100 or 200 units, you are going to be around 5000?
James Perry: You know when you look at that, yes your math is right, it is a little shy of 5000 as the implied fourth quarter number there and you know again we continue to go through a pretty steep ramp up from building 1100 a year ago to 3600 year-over-year in the third quarter. So as you mentioned, we were a little shy of our delivery expectations on the revenue side in the third quarter, but do expect as Steve said to meet those expectations for the annual basis on the 13,600 to 14,000.
Tom Albrecht - BB&T Capital Markets: Okay and the math that I am showing of the backlog that you have got 27,885. It looks like about 20,385 is due in 2012 or later. I am going to assume at least, well probably a few of those are billed beyond with the GATX, but it looks like right now thinking about no more orders, your production, it is probably at least 15,000 for 2012 and of course your order book is not closed for business yet, is that in the ballpark thought process?
Steve Menzies: We haven’t projected 2012 deliveries or any quarter of 2012 deliveries. As you pointed out we are highly focused on achieving the projections we have given for the balance of this year and we will see how orders continue to flow in and how our production ramp up progresses and certainly give you some insight the next time we talk about 2012.
Tom Albrecht - BB&T Capital Markets: Would you be disappointed if you didn’t produce more?
Steve Menzies: I think I have given you the answer.
Operator: And we’ll now return to the side of Steve Barger with KeyBanc Capital. Please go ahead.
Steve Barger - KeyBanc Capital: Yeah, just thanks for taking my follow-up. Steve, you talked about how your manufacturing footprint became more flexible in the downturn, but did you say where you are capacitized to right now on a unit basis plus or minus?
Steve Menzies: Well, I don’t know; if you look at our plans as far as what’s our capacity today, certainly we have the ability to increase production at our current facilities with additional staffing. Right now, we think we have got the right staffing for the production plan that we have and we have got – obviously mix has a lot to do with the productivity at our facilities and line changeovers and right now we work very, very hard to minimize those line changeovers.
Steve Barger - KeyBanc Capital: Right. I guess, I am just trying to understand, I mean put 3,600 this quarter presumably with suboptimal conditions here; we are looking to 4,800 to 5,000 next quarter is that the limit or can you go to 6,000 or 7,000 based on your existing production facilities? And the reason I ask if you need to bring more capacity online, should we expect the same kind of learning curve issues that you are going through right now or is marginal capacity easier to bring online?
Steve Menzies: Steve, this is always supposed to be an hour long conference call; we’ve spent a long time answering that question for you Steve.
Steve Barger - KeyBanc Capital: I’ll just take the unit number then.
Steve Menzies: Yeah, I know you keep working before; we’re highly focused on delivering what we projected in the fourth quarter.
Operator: And we’ll now go to the side of Sal Vitale with Sterne Agee. Please go ahead.
Sal Vitale - Sterne Agee: Okay. Thank you for taking my follow-up question. Just returning to some of your prepared statements, one of the comments you made, you said that the orders you received in 3Q were primarily for tanks and covered hoppers. So should we expect – and then you also mentioned that you are focusing on the car types to minimize changeovers and have attractive pricing. So should we assume based on that that coal cars and intermodal cars are two of the types that don't fit those characteristics in which pricing is not attractive and should I further assume that you will not be pursuing those types of business in the next few quarters.
Steve Menzies: Well, I think the point that we have tried to make Sal is that we want to maintain a continuous production run of certain car types and we have seen through demand that we are able to do that, we’ll take cars and covered hopper cars. To the extent that we see demand significant enough to establish production and to have a continuous long-term run of cars, we’ll certainly look to participate in those markets. We haven't seen that as being the case in coal or in box cars both of which were cars ordered during the third quarter. We do not see acceptable pricing levels associated with intermodal products. So as market conditions continue to strengthen and we see the sustainable demand for certain car types and we see returns commensurate with some of the risks that we take to manufacture, we’ll certainly undergo those markets and participate fully and we have the capacity and capabilities to do that. We have not seen market conditions tell us, if that's the appropriate action at this time, but we remain flexible and we monitor the market continuously.
Sal Vitale - Sterne Agee: Okay. And the reason I asked the question I guess specifically on the coal side is you know the question that I often get is that Trinity is going to ramp up production of coal cars and provide competition with one of your primary competitors. So it sounds like – so if I ask the question a different way, I mean how much – what type of increase in pricing for coal cars would you need to see from current levels for that to become attractive to you?
Steve Menzies: Yeah, good question Sal. No, I don’t know; to answer that that’s really combination of pricing and sustainability of demand. Again, high priced cars have short production runs you know typically don’t lead to successful production planning, so it’s a combination of factors and we’re looking at a number of them.
Tim Wallace: I think Steve you also commented that the coal cars were replacement rather than incremental adds and normally the incremental adds are the sustainable type of production level that we are striving for. And when the other markets have that and you are able to obtain those then we’ve got line set up we go after that.
Steve Menzies: Exactly.
Sal Vitale - Sterne Agee: Just one follow-up on the line set of things that you just mentioned, what are the cost associated with that; how prohibited is that?
Tim Wallace: Cost associated with what?
Sal Vitale - Sterne Agee: With the line set up to produce coal cars for example?
Tim Wallace: We had the tooling and everything in place and its just a matter of transitioning the facility and feeling; its kind of opportunity cost that says like a portfolio manager would say, do I want to pursue this particular product or that particular product when you have markets that are as strong as they are and a real group is a pretty good opportunist group of opportunist and they go after things they get that consistency and can create their operating leverage; Steve and his group has done a really nice job there.
Operator: And this does conclude our question and answer session. I would like to turn the program back to over to our presenters for any additional comment.
Gail Peck: That concludes today’s conference call. A replay of this call will be available after 1’o clock Eastern Standard Time today through midnight on November 2, 2011. The access number is 402-220-0118. Also, the replay will be available on the website located at www.trin.net. We look forward to visiting with you again on our next conference call. Thank you for joining us this morning.